Operator: Ladies and gentlemen, thank you very much for standing by, and welcome to the Saputo 2015 First Quarter Results Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded on Tuesday, August 5, 2015 (sic) [ 2014 ]. It's now my pleasure to turn the conference over to Lino Saputo, Jr. Please go ahead, sir.
Lino Anthony Saputo: Thank you very much, Pema.
Sandy Vassiadis: Good afternoon, everyone, and thank you for joining us today. A press release detailing our 2015 first quarter results was issued earlier today and is also available, as we speak, on our website at www.saputo.com. This call is being recorded and will be posted on our website for future reference. [Operator Instructions] Before we proceed, I'll remind you that certain statements that will be made during this call may constitute forward-looking statements within the meaning of securities laws. Caution should be used in the interpretation of such statements since management has made certain assumptions, including, among others, assumptions regarding projected revenues and expenses; and references to beliefs, expectations, objectives and strategies that are subject to a number of risks and uncertainties, which could cause actual results to differ materially from those presented in such forward-looking statements. For more information on these risks and uncertainties, please refer to the materials filed with the Canadian Securities Regulatory Authority, including our most recent annual report available on SEDAR. Any forward-looking statement made during this call is based on management's current reasonable estimates, expectations and assumptions, and we do not undertake to update or revise such forward-looking statement, except as required under securities laws. The speakers today are Mr. Louis-Philippe Carrière, our Executive Vice President, Finance and Administration; and Mr. Lino A. Saputo, Jr., our Chief Executive Officer and Vice Chairman of the Board. After a brief presentation, we will conclude the call with your questions. Louis-Philippe will now begin the conference, followed by Lino, Jr.
Louis-Philippe Carrière: Thank you, Sandy, and good afternoon. I will now present our results for the first quarter of fiscal 2015 in comparison to those of the corresponding quarter last fiscal year. Net earnings totaled $145.3 million, an increase of $8.6 million or 6.3%. Earnings before interest, income taxes, depreciation and amortization, EBITDA, amounted to $268.9 million, an increase of $26.8 million or 11.1%. EBITDA for Canada Sector grew $113.3 million, a decrease of $2.4 million or 2.1%. In the Dairy Division (Canada), higher ingredients and operational costs offset the positive contribution of increased sales volume and a favorable product mix. During the quarter, the Scotsburn acquisition contributed positively to EBITDA. EBITDA for the U.S.A. Sector grew $117.8 million, an increase of $5.2 million or 4.6%. Higher sales volume in both U.S. Division, in addition to pricing initiatives and operational efficiencies, increased EBITDA. Market factors combined had a negative impact of approximately $35 million on EBITDA. During the quarter, EBITDA was negatively affected by the unfavorable realization of inventories and an unfavorable relationship between the average block market per pound of cheese and the cost of milk as raw material, the decrease of the block price, as well as the higher average butter market price. The average block market per pound of cheese was USD 2.16 for the quarter, USD 0.38 higher as compared to the same quarter last fiscal year, resulting in a favorable impact on the absorption of fixed costs. The weakening of the Canadian dollar versus the U.S. dollar had a positive impact on EBITDA of approximately $7 million. EBITDA for the International Sector amounted to $37.8 million, a $24 million increase. This increase is mainly due to the inclusion of EBITDA from the Dairy Division (Australia) for the full quarter. EBITDA for the Dairy Division (Argentina) increased mainly due to higher selling price in the export market, offsetting increased operating costs. Consolidated revenue amounted to $2,621,000,000, an increase of $447.3 million or 20.6%. This increase is due to the inclusion of the Dairy Division (Australia), the Warrnambool acquisition and the International Sector, which contributed towards the fourth quarter. Also, higher average block market per pound of cheese and higher average butter market price in the U.S.A. Sector, as well as higher sales volume in Canada and U.S.A. Sector increased revenues. The fluctuation of the Canadian dollar versus the U.S. dollar and the Argentinian peso increased revenues by approximately $34 million. Net cash generated from operating activities amounted to $109.8 million in comparison to $119.6 million for the corresponding period last fiscal year. During the first quarter, we disbursed $61.1 million for the acquisition of Scotsburn Co-Operative Services and $32.4 million for the addition to property, plant and equipment. We issued share as part of the stock option plan for a cash consideration of $17.4 million and reimbursed $55.6 million of long-term debt. Finally, the Board of Directors reviewed the dividend policy and increased quarterly dividend from $0.23 per share to $0.26 per share, representing a 13% increase. The quarterly dividend will be payable on September 15, 2014, to common shareholders of record on September 4, 2014. The Board of Directors also declared a stock dividend on one common -- of one common share per each issued and outstanding common share, which has the same effect as the 2-for-1 stock split of the company's outstanding common shares. The dividend on the common shares will be paid on September 29, 2014, to shareholders of record as of the close of the business on September 19, 2014. The stock dividend is subject to obtaining all necessary regulatory approvals. The additional common share will be issued on September 29, 2014. Lino, Jr. will now proceed with the presentation of our outlook.
Lino Anthony Saputo: Thank you, LP, and good afternoon to you all. It has been a good quarter and I'm satisfied with our accomplishments. Net earnings, EBITDA and revenues are up. This is mainly due to the inclusion of the Warrnambool acquisition. On April 14, we also completed the Scotsburn acquisition, which contributed to the EBITDA of the Canadian Sector. Dairy Division (Canada) continues to pursue volume growth in commodity and specialty-type cheeses and in the fluid milk category. They will seek opportunities in the value-added milk category, which offers growth potential. The Scotsburn acquisition has enabled us to increase our presence in Atlantic Canada. Its systems and processes have been integrated, and for the remainder of the fiscal year, we will evaluate opportunities and possible synergies to improve and expand its product offerings. During the first quarter, we closed 2 facilities in Canada. Such measures are part of our continued effort to pursue additional efficiencies and decrease costs. As for the consolidation of our distribution activities in the Greater Montréal area, the project is proceeding as planned and will be completed in the second quarter of this year. In the U.S., we'll work towards capitalizing on the Dairy Food Division's national manufacturing and distribution footprint and take advantage of our infrastructure. Additionally, in fiscal 2015, we will maintain our focus on recuperating lost volume in the Cheese Division (USA). The division plans to continue to gain distribution and market share for its premium lines of snack cheeses and flavored blue cheese offerings. Concerning the International Sector, we have witnessed another strong quarter from a volume perspective. We're working to develop additional international markets from our Argentinian operations. The sector is also pursuing growth of cheese export volumes from the Cheese Division (USA). The inclusion of the Dairy Division (Australia) has provided the International Sector an additional platform to seek long-term growth as a dairy player on a global scale. We intend to accelerate growth in Australia by making necessary capital investments and devoting resources to increase manufacturing capacity, grow milk intake and create new opportunities. On the mergers and acquisitions front, I'm often asked if there is still room for Saputo to continue to be a consolidator in the dairy industry. My short answer is absolutely. We continue to evaluate possibilities, our balance sheet remains strong, and we have the necessary resources to integrate multiple acquisitions at the same time. We continue to look for growth opportunities and aim to find ways to develop new markets, while always remaining disciplined. On that note, I thank you for your time, and we will now proceed to answer your questions. Pema?
Operator: [Operator Instructions] Our first question comes from the line of Irene Nattel from RBC Capital Markets.
Irene Nattel - RBC Capital Markets, LLC, Research Division: Last year, the Canadian market seemed to be plagued by heightened competitive activity, which I noticed that you did not mention this quarter. So wondering what the evolution has been and how you would characterize the competitive environment at this point.
Lino Anthony Saputo: Yes. So the Canadian dairy business remains a very, very, very competitive landscape. We have had to take some measures to make sure that we remain competitive within the environment. We did announce the closure of some of our facilities and the consolidation of the Montréal D.C. The landscape really has not changed year-over-year, Irene. It has remained competitive. I think we're defending ourselves well, and despite the competition, we have maintained and/or, in some cases, grown our market share. So we defend ourselves extremely well. We are taking action. We are being proactive as we've always been at trying to find those efficiencies to allow us to be a stronger player within every market that we service.
Irene Nattel - RBC Capital Markets, LLC, Research Division: That's great. Very helpful. And also, you mentioned that you're going to be taking some initiatives to increase -- or get back some of the cheese volumes in the U.S., both in domestic and international markets. Wondering if you can provide a little bit of color there.
Lino Anthony Saputo: Yes. So if you recall last year Q1, we were faced with quite a bit of competition in the United States, and we said very early on that there are 2 approaches we can take. One could be to fight on price or the other one to fight on quality and service. We choose to fight on quality and service, and unfortunately, it's takes a little longer to get those customers back or to look at new customers and a new customer base. And I say our patience has really worked in our favor. We have gained some market share in the U.S., both on the foodservice and on the retail side, and we've gained that really by being extremely disciplined and focused on what is important for us. Again, the primary focus for us is to gain our customers, whereby we can have a compelling argument to be a long-term supplier for high-quality products, and our patience has really paid off for us.
Irene Nattel - RBC Capital Markets, LLC, Research Division: That's great. And one final question, if I may, about Argentina. Just wondering whether the economic turmoil in the region has had any impact on your operations there recently.
Lino Anthony Saputo: Well, I'll speak to the operations level and then perhaps maybe LP can jump in on the foreign exchange. But from an operational perspective, we still buy our milk in pesos and we process that milk and pay our employees. So from that the end of it, nothing really has changed. When we get to the export market, foreign exchange has been favorable for us when you look at upselling our product in U.S. dollars. So from a day-to-day perspective, we don't feel the impact of it. Now perhaps maybe LP can add some color on foreign exchange and other elements.
Louis-Philippe Carrière: Yes, certainly. You're probably referring to the default of payment that Argentina announced with the last week or the preceding week. Certainly, that situation is not new in a sense in Argentina over the last 10 years. The situation has happened before from, I would say, politic and economic context, but certainly nothing to affect our operations and the way we do business.
Operator: Continuing on, our next question comes from the line of Michael Van Aelst from TD Securities.
Michael Van Aelst - TD Securities Equity Research: A question to start with is in the U.S. business, can you give us some insight into the status of the Morningstar or Dairy Foods integration? Are the IT systems fully implemented? And how might the U.S. cheese and Dairy Food operations work differently together once they're fully integrated and where you want them to be?
Lino Anthony Saputo: Yes. So the integration process itself is pretty well completed. We unplugged from the Dean Foods system and we plugged into the Saputo system. We had a few challenges along the way, but nothing that we weren't able to handle and correct. So from an integration standpoint and system standpoint, no real issues to date. In terms of culture, the Saputo culture in terms of focusing on raw material costs and operational efficiencies, I think that a year into this acquisition, I can say that as we look at the Dairy Foods business, no different in the way we look at the Saputo Cheese USA business. In fact, as we look at our quarterly reviews and our meetings with management, the discussions, the proactiveness and the approach is very, very similar between the cheese and the U.S. business in Dairy Foods. That being said, I would say that we, on the cheese side, are impacted by such things like the block rising or the declining, the spreads, market factors, whey multiples, that affects us on the cheese side. On the Dairy Foods side, very, very different. We're pretty well impacted by the cream prices. And so if I look at this quarter here, Q1 of this fiscal year, on both sides of the U.S. business on cheese and on the Dairy Foods side, I see that the impact was slightly negative. We had a block price that was slightly high. But when we look at the decline in the block within the quarter, we're looking at about a $0.45 decline in the block just in this quarter here. So of course, it has an impact on our inventory devaluation. It also has an impact on the spreads. And so it was somewhat negative on the cheese. Conversely, if you look at the Dairy Foods side, there was a rise in the cream prices, and cream is the main ingredient we use on the Dairy Foods side, so it was almost a perfect storm in the U.S. Now that being said, we are fortunate enough to have a number of different platforms that generate revenue for us and profitability. So on the other hand, we had the international markets that were extremely strong and both Argentina and Australia brought in some very, very good profitability for us. So as a company, I think we're pretty well diverse. We're in a position where we've got almost a natural hedge internally, not only within the division, but within different sectors of our business and we're very, very happy to be in this kind of a position today.
Michael Van Aelst - TD Securities Equity Research: Okay. And Lino, you mentioned in your remarks you were trying to capitalize on Dairy Foods' national footprint or something along those lines. Can you elaborate a little bit on that?
Lino Anthony Saputo: Yes. So yes, Michael, we've got 10 plants across the U.S. Each of those plants are manufacturing products that are specific to our customer base. But the great thing in terms of capitalizing is now we have a great platform by which we can consider other potential acquisitions. There are some intercompany-related opportunities that we can look at between cheese and Dairy Foods when you look at our customer base and customer profile. We can share in terms of strategies and ideas. But I think the real catalyst for improved margin in Dairy Foods will come through the next acquisition we do in the Dairy Foods space.
Operator: Continuing on, our next question comes from the line of Peter Sklar and he's from BMO Capital Markets.
Peter Sklar - BMO Capital Markets Canada: So on your U.S. business, I noticed that EBITDA margins were low at -- like they were the lowest they've been in a number of quarters. So does that reflect kind of the perfect storm, Lino? You're just talking about market factors weighing on your cheese margins, and as well, cream prices being at very high levels for your...
Lino Anthony Saputo: Absolutely. Yes, absolutely, Peter. Again, in the U.S., it was a perfect storm with respect to the decline of the block, the spreads being lower and the inventory devaluation impact that we had on the cheese side and then the run-up of the cream. Now I would suspect going forward if the block would stabilize and the cream prices would come down, it'd be the perfect storm on the positive side. And so again, these market factors, I think, would correct themselves and this is why you saw in Q1 lower margins. Again, we had all of those elements hit us at the same time.
Peter Sklar - BMO Capital Markets Canada: And so what is -- like in your Dairy Foods division, what is the relationship like between the selling price of your product and your margins and the cream prices? Are there leads and lags? Or does things come into line pretty well over the course of a quarter?
Lino Anthony Saputo: Yes, it's a little bit like our cheese business where you got a fixed price and an over-the-block price. Well, on the Dairy Foods side, you have some lag and drag is what we call it and some market price. So it's a mixture depending on the customer profile we have.
Peter Sklar - BMO Capital Markets Canada: Okay. And I just wanted to ask you one other area, on your U.S. M&A opportunities. So there is one big transaction recently -- we noticed recently, Davisco Foods, which was a big cheese and whey company. Believe it has revenues of over $1 billion. Now that this transaction has been completed, can you talk a little bit how Saputo would've looked at something like this? Is that a deal that you would have looked at and considered? Or was it not appropriate for Saputo?
Lino Anthony Saputo: Well, I have said this publicly before that any acquisition or any potential acquisition that would come across our table in the dairy space is something that we would definitely take a look at. Now sometimes we materialize acquisitions and others, sometimes you don't. And there are a number of reasons why we would or would not go ahead with an acquisition. Without talking specifically to any one file, we need to have a great comfort that we're looking at synergistic assets, that those assets are priced properly and that would add value for our shareholders. Like I said before, Peter, we normally have 3 or 4, or 5 files on our table at any given time. We don't materialize every single one of them, but we are certainly involved in a lot of processes for a lot of assets and we feel that we conclude the ones that we believe will generate the best value for us.
Operator: Continuing on, our next question comes from the line of Martin Landry from GMP Securities.
Martin Landry - GMP Securities L.P., Research Division: You mentioned that you intend on deploying a little more resources towards product innovation, and I think that's -- when you're talking about that, it's more in Canada. Curious to see, are you talking more about on the cheese side or on the dairy fluids side?
Lino Anthony Saputo: That would be both. I think that there are some great opportunities. And when we talk about innovation, sometimes it's recipe changes or new consumer trends. Other times, it could be things as simple as packaging and packaging innovation. We're always looking at what the market trends are, what the tendencies are and how we can capitalize to sell more dairy solids, whether that would be in a liquid form, in a powdered form or in a solid form. I think there's some great initiatives we have on the fluids side. We've launched the Milk 2 Go Sport line of products as a recovery drink. That's a category that we were not in before. It's been very, very beneficial for us, and we've had some great success with that. And on the cheese side, we're looking at -- in all of our platforms in Argentina and the United States and in Canada, looking at coming up with new mixes of products and things that are just creative and innovative that we can get the retailers excited about.
Martin Landry - GMP Securities L.P., Research Division: Okay, that's helpful. And I believe in the U.S., one of your strategy is to tap the international markets with your U.S. production. Can you give us a little bit of color on how that evolved your international sales stemming from the U.S., how that evolved during the quarter?
Lino Anthony Saputo: Well, the great thing about our company is that we are selling into 40 different countries around the world. We did that prior to, I'd say, 2002 when we had licenses from Canada. We've done that since 2002 when we acquired the assets in Argentina. And now we're doing that through Warrnambool, our latest acquisition, for the international platform. One of the things that we recognize as our sales folks get around the world is that a lot of these buyers around the world like to have options. They like to be able to have some diversity and perhaps some security that they can source product from different countries around the world. Now those of you that have followed the dairy industry in Australia understand that sometimes there are droughts and sometimes there are floods and sometimes milk is plentiful and sometimes there's shortage of milk. That will have an impact to a buyer. Now that we have the Argentinian platform and the Australian platform, we felt that it would be an additional tool in the belts of our sales folks to give them another platform by which they can source product and that is the United States. The U.S., over the course of the last 10 years, has grown from about 3% of the total solids going to the export market to close to, I think now the number is 15% or 16%. Well, we're just riding that trend and riding that wave and we have carved out a certain percentage of volume from our U.S. business to be destined for the international markets.
Martin Landry - GMP Securities L.P., Research Division: Okay. Any color on what that would represent?
Lino Anthony Saputo: No color there.
Operator: Our next question comes from the line of Mark Petrie from CIBC.
Mark Petrie - CIBC World Markets Inc., Research Division: Just following up on that question with regards to the international market. Can you just give us an update on your outlook for the milk supply growth for the next maybe 2 to 3 years for Argentina and Australia?
Lino Anthony Saputo: Yes. So Argentina really had been a real nice story for us. Over the course of the last 10 years, we've more than doubled our throughputs and we've added the capital infrastructure to be able to process that milk. And Argentina continues to be a nice platform for us. We're anticipating, as we move forward, that there's going to be growth either in milk production and/or our collection of milk. In Australia, we can look to the market historically to see if there is growth or declines and that can go up like it can go down. What we are trying to do in Australia is appeal to the dairy farmers and say, "Look, we can be a good home for your milk. If you choose to increase your herd size and you're producing more milk, we will put on the infrastructure to process that milk." So again, even if the markets are in the decline mode because of issues that are out of control of the dairy farmers like weather and climate and things of that nature, we're trying to even appeal to new dairy farmers that have not serviced us before to consider us as a home for their milk. So our expectation is that we will grow both milk pools.
Mark Petrie - CIBC World Markets Inc., Research Division: Okay. And then just following up my question with regards to the U.S. market. I'm just interested to hear if your customer base has really changed through the decline and then the recovery in volumes, and if there's any way to sort of characterize the changes in terms of the types of customers that you'd be selling to in terms of their value proposition.
Lino Anthony Saputo: Yes, well, the great thing about our U.S. cheese business is that we're selling to 3 different and respective channels: the ingredient, the foodservice and the retail. So when you look at the pool of customers within each of those categories, I mean, there aren't thousands of them. There aren't hundreds of them. And so the mix of clients really hasn't changed all that much. Again, with fewer players in the industry, I think a lot of them recognize that they would like to be with leading players to secure long-term supply of high-quality, well-priced products.
Mark Petrie - CIBC World Markets Inc., Research Division: So in terms of volume growth or volume decline between lower-priced offerings or higher-priced or anything like that, there's no real change?
Lino Anthony Saputo: No real change, no. And again, as I stated last year, this time in Q1, the easiest way for us to grow the volume or to get back some of the volume we lost is to lower our price. That's the game we choose not to play. We like to be respected for what we're offering. And I think if you look at the long run, our customer base will recognize that there is a price to pay for high-quality goods.
Mark Petrie - CIBC World Markets Inc., Research Division: Okay. And then just lastly, just in terms of the balance sheet, if you could just update us in terms of your view on capacity and also your view on share buyback.
Louis-Philippe Carrière: In terms of capacity, I would say that, considering the target EBITDA that would be provided, easily, we can certainly have in the range of between $3.4 billion and $3.5 billion of additional debt. With respect in covering this, essentially, is the ratio upon which we are obligated to. So that would be essentially the expectation in terms of debt, additional debt on the balance sheet.
Mark Petrie - CIBC World Markets Inc., Research Division: And in terms of share buyback, how are you guys thinking about that these days?
Louis-Philippe Carrière: Well, the same as we look through it in the past. So first, and foremost, cash is directed to acquisition, dividend. As you certainly saw today, we increased our dividend by 13%, so cash direct to dividend. And also, CapEx, on which they are very important for us, and lastly, if there would be any excess cash after debt obligation, there will be some share repurchase being done on market as the program is effective actually but which -- for which the last quarter, we didn't exercise it.
Mark Petrie - CIBC World Markets Inc., Research Division: And what's the CapEx plan for this year roughly?
Louis-Philippe Carrière: About $185 million.
Operator: Continuing on, our next question comes from the line of Keith Howlett from Desjardins Securities.
Keith Howlett - Desjardins Securities Inc., Research Division: I had a question on the U.S. business where you offset a lot of difficult market factors. Just in terms of what offset that, was it predominantly volume or efficiency that led to the EBITDA?
Lino Anthony Saputo: Yes, both, I would say. We've increased the volume over the course of the last 2 quarters, and we also had some research and development projects that were under works over the course of the last year and were executed in Q1 of this year. So we continuously look at how we can improve our operations' efficiencies. We did announce the closure of 2 plants in the U.S. specifically last quarter, which were executed within the first quarter of this fiscal year, our New London plant in Wisconsin and our plant in Maryland. So again, all of that will contribute to increased efficiencies and better operations within the U.S. business.
Keith Howlett - Desjardins Securities Inc., Research Division: And when it comes to U.S. business, and I guess, the cream or milk that is used in Morningstar, as a total U.S. business, are you a net purchaser of butter?
Lino Anthony Saputo: We are, yes, a net purchaser of cream, not butter, cream.
Keith Howlett - Desjardins Securities Inc., Research Division: Of cream. So when you mention the butter price in the release, does that relate to the cream price being related to butter price or...
Lino Anthony Saputo: Yes, yes, because the butter will then influence the price of cream.
Keith Howlett - Desjardins Securities Inc., Research Division: So you don't produce any excess in one division that you can sell to the other sort of thing?
Lino Anthony Saputo: We have some excess, but again we're net buyers of cream only because of the sheer volume we generate versus the sheer volume we use.
Keith Howlett - Desjardins Securities Inc., Research Division: I see, great. And then just in terms of Australia, where the numbers appear to be very strong, in terms of the year-over-year performance, is it mostly global dairy prices? Or did the lactoferrin plant have a significant contribution?
Louis-Philippe Carrière: I would say year-over-year, we're not comparing any year-over-year in our information that we do. This goes to the [indiscernible] because acquisition was materialized last January. So it's the first full quarter that we had in our book. So there's no comparison from last year.
Lino Anthony Saputo: But maybe if I can clarify some of that, some of your question. The international market prices played a bigger role than the lactoferrin revenues.
Keith Howlett - Desjardins Securities Inc., Research Division: And then just in terms of the minority interest in Australia, would you have had any discussions with the minority shareholder? Or is it just sort of steady as she goes?
Louis-Philippe Carrière: Well, first of all, it's not something -- we wish we would have any discussions on something on which we can just share with you or even with the audience on the call with the -- something on which again [indiscernible]. There would be any as [indiscernible].
Operator: Our next question comes from the line of Vishal Shreedhar from National Bank Financial.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: Just on share repurchases. You mentioned kind of the logic that you used when you're deciding whether to repurchase shares or not. Is valuation a consideration that you take into account? Or is it just balance sheet and cash?
Louis-Philippe Carrière: Sorry, what is the first question of the...
Vishal Shreedhar - National Bank Financial, Inc., Research Division: Is valuation a consideration that you take into account when you repurchase shares?
Louis-Philippe Carrière: Certainly, valuation would be an element, but it's not the only one.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: Got it, okay. On acquisitions, in the past, you've mentioned certain geographies of focus and I know you've exited Europe. But would Saputo entertain reentering into Europe?
Lino Anthony Saputo: Well, I think the experience that we had within our European platform was very instrumental for us in identifying what would work and what would not work. So the short answer there would be, if there would be the right opportunity for us in Europe where we would be able to control our own destiny, as we do in a lot of the other platforms we have, we would certainly take a look at Europe.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: Okay. And by controlling your own destiny, are you referring primarily to scale? [Technical Difficulty]
Lino Anthony Saputo: Yes, Vishal, I apologize. We are currently doing this conference call by candlelight, that we've lost power and so we're on a cellphone. I apologize for the disruption.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: So just wondering, when you said control your own destiny, was that referring to scale or milk intake? Or what were the factors that you're referring to when you mentioned control your own destiny?
Lino Anthony Saputo: Yes, the primary thing that we witnessed when we were operators in Europe was that you need to have scale, you need have size, you need to have diversity of product, and most importantly, you need to have a very strong brand. And that's, unfortunately, what we did not have. We did not scale. We were manufacturing primarily one type of product in 2 different channels of sales, which was mozzarella for the foodservice and mozzarella for the retail. And we really didn't have any brand that we can -- that would carry the day for us. And so I think it was a great lesson for us and we learned a lot, some technologies we've employed in other platforms in Canada and in the United States. But essentially, to operate in Europe, you need size, scale and branding.
Vishal Shreedhar - National Bank Financial, Inc., Research Division: Got it. And just a last quick one here. On Argentina, given the currency devaluation and I recall you said it was business as usual, but I was wondering if it would influence you on the margin, perhaps preference to export markets versus internal conception in Argentina?
Lino Anthony Saputo: Well, the important thing for us, though, Vishal, is that we remain well diversified because the market can change rather quickly. And we have a very good domestic business there and we certainly don't want to abandon our domestic business, even if the revenue streams could be a little bit higher on the international side because, somewhere along the line, that pendulum might turn again on us. So we currently have, I would say, at any given time, 60-40, 40-60, sometimes 50-50, in terms of our orientation for export versus domestic sales.
Operator: [Operator Instructions] And we now have a follow-up question from the line of Irene Nattel from RBC Capital Markets.
Irene Nattel - RBC Capital Markets, LLC, Research Division: Just one question on your discussions with the farmers in Australia. Certainly, Saputo has demonstrated in Canada, in Argentina, that you are -- when you say that you are happy to be a milk buyer of last resort and you will take what they will produce, you've demonstrated that you do that. So just wondering, in your conversations in Australia, the degree to which the dairy farmers there seem to be receptive to the idea.
Lino Anthony Saputo: Yes, that's a very good question, Irene. And I was there prior to us owning the 88% shares of WCB, and in fact, I'll be there again in a week from now, back in Australia, and sort of recapping with the dairy farmers, how things -- how life for us has evolved since we've taken over the assets. A lot of the discussions are around what will it take, beyond price sometimes, what will it take for the dairy farmers to be optimistic about the dairy industry and investing in their farms and what kinds of programs can we put in place that will assist them. There are some really nice creative things that our team has done in Australia, and I think that, that has paid some dividends for us. But this, to me, it's not like we're running a sprint here. This is a marathon on an ongoing basis. It's one thing that we say the right thing, but we need to do the right thing and follow up with it. Very much like we did in Argentina. So we're hoping that the dairy farmers will believe in what we have to say, that will trust us and that will continue to invest in their farms so that we can ultimately have more milk and they can have a better future with perhaps even a lower structured milk production entity.
Irene Nattel - RBC Capital Markets, LLC, Research Division: That's great. And I guess part of the related question is whether or not there's anything that can be done to help moderate some of the cyclicality and the seasonality of the milk production in the region.
Lino Anthony Saputo: Yes, I've seen that in different parts of the world where they pay premium for off-season milk, which is something that we can consider. But again, the trade-off with a dairy farmer would be what is the revenue versus the expenses to operate in an off-season environment. We've seen that in a lot of different countries, and there are some farmers that are off-season farmers that really enjoy being off-season farmers and others that don't feel quite comfortable doing that. So again, to me, it would be a one-on-one discussion. And for us, we'd like to be facilitators and we'd like to see what it would take to make the farmer as comfortable as possible to consider investing in his farm.
Operator: And our final question comes from line of Keith Howlett from Desjardins Securities.
Keith Howlett - Desjardins Securities Inc., Research Division: Yes, I was wondering how you find the best way to track global supply-demand situation for milk. I know some commodity brokers have been suggesting there's a pending overall supply on the global market.
Lino Anthony Saputo: Yes, the way we track it, Keith, is really by having our soldiers in the field. They'll bring back to us what is actually going on, and we've got a very diverse sales team, people that are based in Asia, others that are based in Latin America, others based across the U.S. and in different parts of the world. And again, we have regular discussions with them. But then, of course, there are some open-traded markets, Dairy.com and such, that will give us a pretty good indication of where the trends would be with respect to things like whole milk powders. And the whole milk powder typically will be an indication of where the rest of the market will go with respect to cheese and butter and others.
Keith Howlett - Desjardins Securities Inc., Research Division: And then just finally on acquisition multiples around the markets that you're looking at, is there any upward movement? And are they fairly similar market to market?
Lino Anthony Saputo: Yes, I think it all has to do with the type of target that we're looking at. Some targets are highly specialized and branded that generate good margins and perhaps we can pay a little premium for. Others are more commodity driven with a small mix of clients with large volumes, which would require a different multiple. So again, for us, things have really not changed that much in our world. We've paid in the past as low as 4x EBITDA. We've paid as high as 12x EBITDA. Perhaps we may not find those 4x EBITDA targets anymore, but I don't think there will be much beyond 11% or 12% EBITDA. Again, unless, of course, we see that there is some real strategic reason why we should own the asset, at which point in time we'll pay a fair market price for it.
Operator: And Mr. Saputo, there are no further questions at this time. I'll return the presentation to you once again to continue or for your concluding remarks.
Lino Anthony Saputo: Thank you very much, Pema.
Sandy Vassiadis: We thank you for taking part in this conference call. We hope you will join us for the presentation of our 2015 second quarter results on November 6, 2014. Have a nice day.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you all for your participation and ask that you please disconnect. Thank you once again. Have a wonderful day.